Operator: Good morning. My name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing First Quarter 2012 Earnings Conference call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Christopher Son, Director of Investor Relations, Corporate Communications and Marketing. Please go ahead, Mr. Son. 
Christopher Son: Thank you, Melissa, and good morning to everyone. I'd like to welcome everyone, who is joining us on AAM's first quarter of 2012 earnings call. Earlier this morning, we released our first quarter earnings announcement. You can access this announcement on the aam.com website or through the PR Newswire services. To listen to a replay of this call, you can dial 1 (877) 278-1452, providing a reservation number 69159478. This replay will be available beginning at noon today through 5 p.m. Eastern Time May 6. 
 Before we begin, I would like to remind everyone that the matters discussed on this call may contain comments and forward-looking statements subject to risks and uncertainties, which cannot be predicted or quantified, and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. 
 Also during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures, as well as the reconciliation of these non-GAAP measures to GAAP financial information is available on our website. 
 During the quarter, we will participate in the following conferences: the KeyBanc 2012 Automotive & Industrial Conference in Boston on May 30 and 31 and the Deutsche Bank Industrial Conference in Chicago on June 13. In addition, we're always happy to host investors at any of our facilities. Please feel free to contact me to schedule a visit. 
 With that, let me turn things over to AAM's Cofounder, Chairman and CEO, Dick Dauch. 
Richard Dauch: Thank you, Chris, and good morning to everyone. Thank you for joining us today to discuss AAM's financial results for the first quarter of 2012. Joining me on this call today are David C. Dauch, our President and Chief Operating Officer; John Bellanti, our Executive Vice President, Worldwide Operations; and Mike Simonte, our Executive Vice President and Chief Financial Officer. 
 To begin my presentation today, I will provide some highlights of AAM's first quarter of 2012 results. I'll also review the status of AAM's key business initiatives before turning things over to Mike. After that, we'll open the call up for any questions you, ladies and gentlemen, may have. 
 Today, AAM is reporting solid financial results in the first quarter of 2012 with strong sales growth and higher earnings. Let me briefly cover 3 key first quarter financial highlights. First, for the first quarter of 2012, AAM sales were approximately $752 million. On a year-over-year basis, AAM sales in the quarter were up approximately $106 million. That is an increase of 16% and AAM's highest sales in the quarter since the year 2007. 
 Second point, non-GM sales increased approximately 8.5% on a year-over-year basis to $193.6 million. Our company continues to achieve significant gain and customer diversification. And we expect non-GM sales to reach 40% or higher by next year 2013. Third point, AAM's profitability in the first quarter of 2012 was AAM's highest profitability in the quarter since the year 2004. 
 Gross profit increased over 31% when compared to the fourth quarter of 2011 to $139.2 million or 18.5% of sales. Operating income was $77.4 million or 10.3% of sales, a sequential increase of over 59%. Adjusted EBITDA increased 20% sequentially to $108.8 million in the first quarter of 2012 or 14.5% of sales. Net income and earnings per share increased by over 64% on a sequential basis to $51.2 million and $0.68 per share EPS, respectively. 
 Let me now take a few comments on the broader auto industry. The U.S. SAAR is currently running at a much stronger pace of approximately 14.5 million units to the first quarter of 2012. This compares with 13 million unit pace in the same period a year ago and is substantially higher than AAM's operating breakeven level, which we're controlling at approximately 10 million units. 
 North American light vehicle production was up approximately 17% in the quarter on a year-over-year basis. In addition to these improved global industry conditions, we continue to benefit in the quarter from improved capacity utilization and sustained reductions in our fixed-cost structure. Mike will soon cover more details on the first quarter of 2012 financial results, and let me now shift gears at this time and update you on how AAM is driving performance to build value for our many key stakeholders. 
 First point, AAM is delivering technology leadership. Our company is continuing to focus on technology innovation with excellent results in keeping our business vibrant. The addition  of new products and ideas, which respond to the rising requirements of the global automotive industry is a primary reason for our optimism of our future growth. As the global OEMs race to meet tighter fuel efficiency emission standards, the auto industry is entering a new advanced phase of innovation and design and we're at the leading edge. This encompasses independent drive vehicles, hybrid and electric vehicle, advanced powertrain applications and other equally sophisticated technologies. 
 Our company is meeting these challenges head-on with an aggressive plan to increase investment in the new technology, including product, process and systems. The plan is designed to supply the manufacturers of products addressed these new and emerging market demands, and therefore, their requirements. 
 In support of these efforts, AAM's R&D spending in the first quarter of 2012 was a shade over $30 million, $30.1 million. This represents an increase of about 10% as compared to the first quarter of 2011. Our company is developing many new innovative products with a focus on the following issues: enhancing the fuel efficiency of our current products through mass reduction, actual efficiency, advanced metallurgy, package ability, advanced engineering, as well as other related initiatives. We're also meeting the market demands for lower emissions, more sophisticated electronic controls, improved safety, ride and handling performance and enhanced reliability and durability. 
 We're also supporting the rapidly evolving design direction and needs of our customers by focusing on emerging driveline technologies. This includes advancing electric drive systems for electric and hybrid vehicles, as well as the electric all-wheel drive systems or as we refer to e all-wheel-drive. In this area we're leveraging our e-AAM driveline system in Trollhattan, Sweden. 
 During the first quarter of 2012, AAM acquired full ownership of e-AAM. Our company e-AAM was previously a joint venture between AAM and Saab Automobile AB. Now as a wholly owned entity, AAM now has greater flexibility to support e-AAM's customers without limitation. E-AAM's e-all-wheel-drive systems are designed to improve fuel efficiency as compared to conventional all-wheel-drive systems by a whopping 30%. E-AAM's all-wheel-drive systems are also designed to significantly reduce CO2 emissions and enhance vehicle stability through the use of proprietary torque vectoring attributes. 
 In the first quarter of 2012, we completed many successful winter test drives at AAM's recently opened Winter Test Center. It is located at Colmis Proving Grounds in Arjeplog, Sweden. This facility is strategically located approximately 60 miles from the Arctic Circle. It provides an optimal environment for customer collaboration, product validation and performance demonstration of AAM's latest advanced technologies. 
 We're currently working with several global OEMs to further develop the engineering requirements for electric drive systems on numerous global vehicle platforms. We are targeting at least one active purchase order as a result of the activity we have this year. 
 AAM's technology leadership is also demonstrated by AAM's EcoTrac brand, a fuel-efficient and environmental friendly product. AAM's EcoTrac's high-efficiency axle systems, deliver world-class axle performance by implementing proprietary technology, optimized product design, lubrication efficiency, while also reducing friction. A key example of this technology is a rear drive module RDMs that we're launching now, today in Jiangsu, China for the Mercedes-Benz C and E class vehicles. 
 Later this year, we'll be launching our EcoTrac RDMs with front drive units, front and rear drive shafts with all-new Cadillac ATS. This new vehicle from GM will have the most efficient axle available in its class. 
 AAM's EcoTrac brand also includes our innovative disconnecting all-wheel-drive system. This system enables a vehicle manufacturer to offer our fuel efficient environmentally friendly option to provide the safety ride and handling performance of an all-wheel-drive system for passenger cars as well as crossover vehicles. 
 AAM's EcoTrac disconnecting all-wheel-drive system demonstrates AAM's technology leadership, will be the first in the marketplace with a global non-GM customer. We're very proud of these new product technologies and believe this will also be a very important trend in the all-wheel-drive systems for the next 10 years or more. 
 Secondly, AAM is delivering globally. Our customers are continuously evolving their business to become more globally competitive, more customer-centric, more innovative and more profitable, and we're at the leading edge to support them to do that. Our company is responding to these market dynamics and will continue to be a key partner in this ongoing process. 
 Over the last 3 to 4 years, we've established AAM's global footprint. We now have capabilities to serve every major global automotive market in a regionally cost competitive way and operationally flexible manner. 
 In North America, we base our operations at Three Rivers Michigan, United States and Guanajuato, Mexico. 
 In South America, we're based on Arcadia, Brazil; and in Europe, we're based in Swidnica, Poland as well as Glasgow, Scotland. 
 In Asia, our strategy involves our focus in 3 different countries. First, China. AAM's operations include our wholly-owned Jiangsu manufacturing facility and our joint venture, as well as Hefei, China. In December of 2011, 4 months ago, we significantly expanded our existing joint venture with an affiliate of the JAC Group in Hefei, China by adding our partner's light and medium duty commercial axle business to the company. This expanded joint venture will now supply front and rear beam axles to several leading light truck manufacturers in China. As a result of this joint venture activity, AAM is the second largest supplier of light commercial truck axles in the entire country of China. We anticipate this joint venture growing through booked orders to approximately $300 million over the next 3 years. Second country, Thailand. AAM's operations are in production, including this new facility in Rayong, Thailand. This is our first operation in this critically important global light truck market. Our first product launch at Rayong manufacturing facility is getting off to an excellent start with a launch of the General Motors' new global midsized pick-up truck program. 
 The third country, India. In AAM continuing in Asia to support Tata and MNAL with driveline systems from our operations in Pune and Pantnagar. In addition, we're now launching AAM's newest manufacturing operation down in the deep southeast of India and China in Chennai for Daimler Truck with axles for light and heavy duty commercial vehicles. 
 That gets me to my third point. Our company is delivering diversification as we said we would, in addition to diversifying our presence in global growth markets, as well as expanding our product portfolio. We're making major strides in expanding AAM's customer base. 
 AAM's $1.1 billion new business backlog launching from 2012 to 2014 is a major driver of this positive change. Over 75% of the awards in our new business backlog are with customers other than the General Motors Company. 
 In terms of diversification of balance, our focus is on developing similar mutually beneficial, strong long-lasting relationships with many other customers. AAM's $1.1 billion new business backlog includes new business with Volkswagen, Audi, Scania, Chrysler, Fiat, Nissan, JAC truck [ph], Ford, Daimler Truck, Mercedes Benz, Tata Motors, Jaguar Land Rover, Volvo powertrain and the Mack Truck brand, along with M&A Mahindra Navistar Automobile Limited. This is our first production order also with Honda, I'm proud to discuss. 
 AAM is now working with the best of the best on a total global basis. It's one of the most important changes in improving AAM's business strength in the last 5 years. We told you it’d occur, it did, it will. To further advance our profitable growth and diversification objectives, AAM is currently quoting approximately another $1 billion of potential new business. Approximately 90% of these quotes represent opportunities with customers other than GM. 
 My last item, AAM is delivering solid profitability. AAM's improved financial performance is a critical element of our plans to reduce leverage, strengthen the balance sheet and increase stockholder value. We're on track to achieve these objectives and improve our financial strength. 
 Our first quarter 2012 results in the 11th consecutive quarter of profitability for AAM, the ninth consecutive quarter of year-over-year sales growth. Over the course of these past 11 quarters, we have made steady progress toward our goal of investment-grade credit metrics by 2013. During this time we have consistently achieved profitability at the upper end of our long-term EBITDA guidance range of 12% to 15%. Before I turn it over to Mike, let me wrap up by making a few closing remarks about AAM's 2012 outlook. 
 AAM's 2012 outlook is based on the assumption that these -- that the U.S. light vehicle sales will be in the range of 13.5 million to 14 million units. Others are much more bullish, this is our plan. The upper half of that range is more probable at this point in time. Based on the industry sales assumption and the anticipated launch timing of AAM's new business backlog, we expect AAM's full year 2012 sales top line revenue to range between $2.8 billion and $2.9 billion, probably closer to the $2.9 billion. 
 In terms of profitability, we continue to expect AAM's adjusted EBITDA margins to range from 14% to 14.5% of sales in 2012. Let me emphasize that AAM's top priority right now is to make effective preparations for the many global product launches we scheduled later this year and continuing through the year 2013. 
 During this 2-year period, we will launch approximately $750 million of new business. AAM's plan to build value for our many key stakeholders is very simple. There are 3 points. First, AAM is growing faster than the industry. Our top line growth is projected to be in excess of 11% over the next 3 years as we launch the new business backlog where the industry projections are around 6% to 7%. Second point, AAM is also making great progress on achieving business diversification. We're on track, as I said, to improve our non-GM sales concentration to about 40% of sales by 2013. We are now turning our attention to a target we have set for calendar year 2015 to achieve an equal 50-50 balance of sales non-GM or with GM. 
 Third point, we are rapidly strengthening AAM's balance sheet. We're successfully executing the plan, and we're confident AAM's best days are all ahead of us. 
 That concludes my comments, ladies and gentlemen, this morning. I thank you for your attention, I thank you for your interest and support to AAM. Let me now turn this call to our Executive Vice President, Finance and Chief Financial Officer, Michael Simonte. Mike? 
Michael Simonte: Thank you, Dick, and good morning, everybody. Dick already covered the highlights on this quarter, our first quarter of 2012. So I'll get right into the details, starting with sales. 
 Net sales in the first quarter of 2012 increased 16.4% to approximately to $751.5 million and compared to $646 million in the first quarter of 2011. This increase of 16.4% on a year-over-year basis with higher than the 13% increase in U.S. light vehicle sales or the SAAR and approximately the same as the year-over-year growth in North American light vehicle sales. 
 On a sequential basis, AAM sales in the first quarter of 2012 were up $146 million, that's a 24% gain as compared to fourth quarter of 2011. Three major factors account for this increase.  The first is seasonality. In the first quarter of 2012, there were 7 more straight-time production days in the U.S. than as compared to first quarter of 2011. This is a typical seasonal trend, and of course, that benefited our sales in the first quarter versus the fourth quarter. 
 The second issue is a widely reported and expected increase in GMT900 production volumes. In the first quarter of 2012, GM produced approximately 290,000 vehicles in this program. This compares to 226,000 in the fourth quarter of 2011. 
 The third and final issue is the launch of new business in 2012. For example, in the first quarter of 2012, AAM's supported production of 23,000 vehicle units in GM's global pick-up program, known as the GMI700, and we did this in Arcadia, Brazil and Rayong, Thailand . This compares to only 3,000 in the fourth quarter of 2011. This launch and others drove a nearly $30 million increase in our sale outside of North America on a year-over-year basis. And as Dick mentioned, keep in mind that over the next 3 years, we expect to launch $500 million of new business in Brazil, China, India and Thailand. This is a very positive development in terms of our business diversification, rapidly improving in these areas. 
 In the first quarter of 2012, our non-GM sales increased by approximately 9% on a year-over-year basis to $194 million. As a percentage of sales and as adjusted for the impact of our Hefei, China joint venture, our non-GM sales were approximately 30% of total sales in the first quarter of 2012. And that the GMT900 program ran at "normal levels," which we estimate to be approximately 260,000 units. We would have expected our non-GM sales to be about 33% of total sales, and that's right in line with where we ended 2011. As we work our way through this calendar year 2012 and launch new business with Mercedes and Daimler and Volvo and Mack and MNAL later this year, you will see that trend continue to improve. 
 All right. So our content per vehicle in the first quarter of 2012 was $1,475. This was relatively flat as compared to the first quarter of 2011. And remember that our content per vehicle is measured as the sales value of the products we deliver for our major North American light truck programs, this is consistent and comparable to the disclosures we've made over time. 
 Okay. Let's now move on to our profitability, which was solidly improved on a year-over-year basis. Gross profit was up $23.8 million or 21% to $139.2 million. Gross margin was 18.5% of sales. EBIT was up $16.3 million or 27% to $77.4 million.  Our EBIT margin was at 10.3% of sales. 
 Net income in the quarter increased $13.5 million. That's a 36% increase to $51.2 million. Our net margin was 6.8% of sales and diluted EPS was 68% -- I'm sorry, $0.68 per share. Our GAAP-derived EBITDA was $114.1 million or 15.2% of sales in the first quarter of 2012. These GAAP results in our first quarter of 2012, included the net favorable impact of special items relating to the closure of our Detroit Manufacturing Complex and Cheektowaga Manufacturing Facility. These amounts included a $21.8 million post-retirement benefit curtailment gain and a $16.5 million net special charge and restructuring cost hit that we incurred in this quarter. 
 Excluding the impact of these special items, AAM's adjusted EBITDA in the first quarter of 2012 was $108.8 million or 14.5% of sales, this was in line with the top end of our annual profit guidance range for the year, a very good start for our company in 2012. 
 Now let me anticipate some questions about our sequential profit performance. As compared to the fourth quarter of 2011, our sequential operating income and EBITDA profit margins were approximately 12% and 13%, respectively. While this is short of our 25% target for incremental contribution margins, we expected this to be true in 2012 and communicated that expectation to you very clearly in our profit guidance. The primary issue affecting the comparability of our profit margins in 2012 as compared to 2011 is material cost inflation. As we had previously said, this issue is adversely affecting our profit margins in 2012. Combined with freight cost inflation, this cost headwind represents approximately 100 basis points, up -- maybe up to $35 million of adverse margin impact in 2012. 
 The impact of this year-over-year cost driver is greater earlier in the year. This is true because we started to incur these material cost pressures in the second half of 2011. A second issue affecting the comparability of our profit margins in 2012 versus 2011 is the recognition of deferred revenue under the 2008 AAM-GM agreement. 
 The 2008 AAM-GM agreement resulted in GM providing our company a total of $213 million of financial support to fund buyouts and buy-downs related to the transition of UAW representative legacy labor at AAM's original location. Under GAAP, these payments have been recognized as revenue by AAM under the term of the collective bargaining agreement covering these locations. This labor contract, as I'm sure you know, expired on February 25 of 2012. As a result, our revenue recognition for this agreement also terminated in February of 2012. 
 The net impact of the cessation of the deferred revenue recognition related to this agreement is estimated to be a reduction in sales revenue of approximately $48 million and the net adverse profit impact of approximately $35 million for the full year 2012. And of course, this is as compared to the full year 2011. 
 Now in the first quarter of 2012, because this issue really only changed for the month of March, the net impact was a reduction in sales of approximately $5 million, $4.7 million to be exact and a net adverse profit impact of approximately $3.2 million. 
 The final issue I will cover with you today that affects the comparability of our profit margins in the first quarter of 2012 as compared to the prior year is foreign exchange. In the other income line item in our financial statements, we recognize impact of 2 activities primarily. Number 1, the profits from our unconsolidated joint venture in Hefei, China. And number 2, foreign currency gains and losses. In the first quarter of 2012, we're very pleased to tell you that we recorded a gain of approximately $900,000 relating to our share of the earnings in our unconsolidated joint venture in Hefei, China. That's a very nice return on our investment. Offsetting this equity income was $2.1 million of foreign currency losses, principally related to the remeasurement of Mexico peso-based assets and liabilities by our U.S. dollar functional operations in North America. 
 In the first quarter of 2011, this activity resulted in a $500,000 gain. We suspect this foreign-exchange activity, which of course is not easy to predict was not considered by the analyst community in establishing estimates for our first quarter 2012 earnings. 
 Now before reviewing our cash flow results, let me quickly cover our SG&A, interest and taxes. In the first quarter of 2012, SG&A, of course, this includes R&D was approximately $61.8 million or 8.2% of sales, which compares to 8.8% of sales for SG&A in the first quarter of 2011 and 9.4% in the fourth quarter 2011. Now higher R&D spending was the single largest driver of our increased SG&A spending on a nominal basis in the first quarter of 2012 as compared to prior year. 
 AAM's R&D spending in the first quarter of 2012 increased approximately $3 million on a year-over-year basis to $30.1 million. On a percentage basis, this was an 11% increase on a year-over-year basis, which is approximately the same as the increase we expect in our full year 2012 sales. 
 As compared to the fourth quarter of 2012 -- I'm sorry, '11, AAM's R&D spending was up approximately $2 million on a sequential basis. Similar to the third quarter of 2011, the timing of certain customer validation and prototype requirements drove our R&D spending in this quarter, the first quarter of 2012, to be higher than the average quarter return for the past 5 calendar quarters. We currently expect AAM's R&D spending rate on a quarterly basis to track fairly closely to this trend rate when I'm speaking to you at the trend of the last 4, 5 quarters for the rest of 2012. And this would be in the range of approximately $28 million to $29 million per quarter. 
 Okay, interest expense. In the first quarter 2012, it was $24 million. This was up approximately $3 million on the year-over-year basis. As you recall, we issued $200 million of 7.75% notes. In the fourth quarter of 2011, our quarterly run rate of interest expense increased to approximately $24 million as a result of this additional borrowing. 
 And finally, taxes. AAM's effective tax rate was approximately 4.3% in the first quarter 2012. The tax provision was $2.2 million. It was a relatively a clean quarter from a tax perspective, more or less in line with our previous guidance and no significant adjustments to report. So that's all I really have to say about that. And if you have any further questions, please ask in the Q&A period. 
 Okay, let's move on to cash flow. The first thing I want to say about cash flow is that our first quarter results were very similar to what we expected and budgeted for this quarter. In fact, we believe that AAM is now at a turning point as it relates to free cash flow generation. Over the next few minutes, I will explain what happened in this first quarter and keep in mind that our sequential sales growth was 24% in the quarter that was a huge issue in terms of cash flow for this 1 single quarter. And I'll also explain why we are not at all concerned about it. 
 This first quarter of 2012 cash flow result is one of those "high-class problems, fast-growing profitable companies" experienced on the upswing. We define free cash flow to be net cash provided by or used in operating activities, less capital expenditures, and of course, our CapEx is shown net of proceeds received from the sale of equipment.
 GAAP cash used in operating activities in the first quarter of 2012 was $71.5 million. Now in our press release, we show a condensed consolidated cash flow statement. We show an other operating activity use of cash of $158 million. What I want to do here now is give you some of the key elements of that condensed results, okay? 
 So again $158 million of use of cash reported as other in our press release. Here are the major elements: Accounts receivable grew to just over $500 million and represented $166 million use of cash in this quarter. This was offset by a growth in our accounts payable to the tune of approximately $100 million. So the net of accounts receivable and accounts payable was the use of cash of approximately $166 million. 
 Inventories represented a $25 million use of cash. The curtailment gain approximately $22 million in the quarter was a reconciliation of $22 million shown in that line item. Reconciliation, of course, of our net income to our cash provided by operating activities are, in this case, used in operating activities. Deferred revenue was a $13 million reconciling item in that cash flow statement. And finally, other items principally accrued compensation. And we do pay our incentive compensation once a year in the first quarter. And so this drove the use of cash, again, $25 million in the quarter. These are the primary elements of the $158 million use of cash in this first quarter of 2012 reported as other in our press release. So hopefully, that'll help you, and I'm anticipating some questions if I tell you that. 
 Okay. So let's go back to our reconciliation of free cash flow. GAAP cash used in operating activities, $71.5 million. Capital spending net of proceeds from sales of equipment was approximately $44 million in this quarter reflecting the impact of this operating activity in CapEx. Our free cash flow in the first quarter 2012 was a use of approximately $115.1 million. Now, it's not unusual for an automotive supplier to use cash in the first quarter. Seasonal working capital trends often drives this type of results. For AAM, this trend is currently exacerbated by a heavy concentration of interest payments in the first and third quarter of the year. That was approximately $35 million. 
 The first quarter further impacted by the fact that our annual incentive compensation is paid in March every year, I just mentioned that, and that's about $25 million. However, this quarter was even more unusual for AAM due to that 24% sequential increase in sales we experienced. This drove a significant increase in working capital. 
 Let me walk through some of the bigger issues from a cash flow perspective, starting with inventories. Inventories were up to $203 million at March 31, 2012, from $177 million at 2011 year end. This is a 15% increase. And that, of course, compares to the sales increase of 24% we incurred in this quarter. In fact, if you just compare our sales in March of 2012 to December of 2011, the last month in each quarter, the increase was even higher, almost 65%. I mentioned these comparisons because we are currently supporting much higher levels of business activity than we did in 2011 in the fourth quarter. And we need more inventory in the system to do that. As we work through the rest of 2012 and complete the transition of the work previously sourced to the now closed Detroit and Cheektowaga facilities, we expect to reduce inventories to the same levels or probably below the levels that we carried at 2011 year end. Reducing inventories will be a major focus for us for the rest of 2012. 
 Let me also comment on receivables. The first thing I want to say about receivables is our past due balances are in line with year end. So that's not the issue. There is no problem with the quality of our receivables, nor are we shipping any more products to our customers than what they specifically ordered to support their current production plan. The primary driver for the increase in our receivables in the first quarter 2012 is the increase in our sales. 
 In the months of February and March of 2012, AAM sales exceeded $530 million. At quarter end, our accounts receivables were $501 million. That's an increase of $168 million as compared to 2011 year end. And I mentioned already, but I'll say it quickly again, almost $100 million of this accounts receivable working capital build was offset by higher supplier payables, and this of course also reflects higher levels of activity. 
 Aside from this increased business activities, one other issue that accounted for a portion of the sequential increase in accounts receivable in the first quarter of 2012 as compared to year end 2011. In the first quarter of 2012, GM changed the administration of our payment terms. Now as you recall in the second half of last year, we transitioned from accelerated net 10-day terms to GM's standard terms of net 47 paid weekly. This occurred in the third quarter of 2011. 
 The change in 2012 relates to the measurement of the payment date under this net 47 paid weekly protocol. GM is now starting the clock on these payment terms when our products are received in their facility. We refer to this as pay on receipt. Previously, the clock started when title transferred at our dock, which by the way, has not changed title, still transfers to General Motors at our dock. But the change is that the clock, in terms of determining the date in which we will be paid for shipment, has now been changed to when these shipments are received by General Motors. This additional change to pay on receipt terms by GM is adding approximately 1 week of float in our receivable balances beginning in 2012. 
 Based on time and projected shipment levels, AAM motor logistics selected by GM for our shipment, we're estimating the impact of this change to be up to $40 million in the first half of 2012. We expect this to increase, the total working capital impact of transitioning to GM's standard payable terms or payment terms to $230 million, approximately $190 million of which we incurred and reported in 2011. This issue accounted for a use of cash of approximately $16 million in the first quarter 2012, so there'll be some overhang in the second quarter of 2012 and then it will be behind us after that. 
 The good news in all this working capital discussion is that most of this cash flow hit is behind us. We have climbed a steep working capital mountain over the past 3 quarters, and now we are poised to generate significant amounts of positive free cash flow in the remaining 3 quarters of 2012 and beyond this year into 2013, '14 and '15. In fact, this is where you experience an unusually high, seasonal use of cash in operations in the first quarter of 2012. We are anticipating a very strong seasonal source of cash from the operations in the second half of 2012. 
 Okay. Let me close my comments by covering a couple of quick areas on the balance sheet. As Dick said, we're making steady progress toward regaining investment-grade credit metrics by 2013, one of the most significant priorities for our company. 
 AAM's adjusted net-debt-to-EBITDA leverage ratio was 2.84x at the first quarter of 2012. Our goal for this metric is to be below 2x in 2013. AAM's adjusted EBIT interest coverage was 3x at March 31 in 2012. On an annualized basis, this is approximately 3.25x in the first quarter of 2012. Our goal, to be above 3x by 2013. We're there, and we're going to stay there. 
 Net-debt-to-market capitalization was approximately 56% at March 31, 2012. Our goal is to maintain this ratio below 40%. So the last thing I'm going to say relates to our 2012 outlook. Dick already covered the basics in terms of our outlook, our sales guidance and our profit guidance, so let me just say this: We're not going to revise our outlook today because we did not lowball you with this guidance a couple of months ago. We are pleased with and proud of our guidance for the year. Sales are trending above 10% growth and our adjusted EBITDA is going to trend over $400 million. 
 We're focused on accelerating AAM's business diversification by successfully launching new business with new customers and new markets, all while continuing to build our new business backlog. We've got a substantial amount of new business quotes, and we're very competitive in those quotes. 
 We're committed to building momentum in our driveline technology leadership position by continuing to develop and launch innovative new product launches and systems technologies -- Dick covered much of that with you today. Our focus is on delivering these commitments and more to our stockholders and other key stakeholders. We're well on our way in this first quarter. Over the past couple of months, we have fielded numerous questions about the macro environment. Principally, the impact of higher fuel prices on U.S. light vehicle sales, truck mix, the GMT900 program and ultimately, our P&L. 
 Let me emphasize a few key points to summarize our outlook. Number 1, we are not concerned about GMT900 dealer inventory levels. In fact, we expect them to move a little bit higher in the second quarter before seasonal fluctuations swing back in the second half of the year. GM's explained how and why they plan to build ahead this year to facilitate the downtime required to prepare for the K2XX, GMT's successor program for the GMT900. 
 In addition, there are more production days in the first half of the year, and truck sales and truck mix are typically much stronger in the second half of the year than the first half. We see no reason why that would not be the case this year. Number 2, we are not concerned about "weak truck sales" in the first quarter of 2012. On a global basis, we estimate that GM sold approximately the same number of GMT900 vehicles in the first quarter of 2012 as in the first quarter of 2011. That's what we expected this year for GMT900 sales and production to be approximately flat with the prior year. From our perspective, it looks like GM is on track to do exactly that. 
 Number 3, we're not concerned about "weak truck mix" in the first quarter of 2012. The percentage of the U.S. SAAR, represented by full-sized pickups and SUVs, which we refer to as truck mix, was approximately 12.7% in the first quarter 2012. This was down a bit as compared to 13.2% in the first quarter of 2011. However, we believe this is a function of strong car sales as opposed to weak truck sales. Again, all we expected and all we need to achieve our plan this year is flattish GMT900 sales in production. With the SAAR up and mix down just a bit, that's exactly what's happening. 
 And finally, number 4. We are not concerned about the competitiveness of the GMT900 vehicles in their final model year of sales. First of all, many of these GMT900 model variations are still very competitive in the marketplace. The heavy duty pickups are the newest trucks in their class. The full-sized SUVs are commanding a U.S. market share approaching 60% 6, 0. And of course, it accounts for a significant number of export sales. Only the light-duty pickups are lagging their peers in terms of product modernity and that relatively small gap that we cured quickly with the launch of the new trucks in early 2013. The bottom line is that we are growing more confident, not less confident in our 2012 outlook as a result of the sales and production trends we have observed so far this year. 
 Okay that's it. I've stated my comments. Thank you for your time and participation on the call today. I'm ready to turn it over to Chris for the Q&A. 
Christopher Son: Great. Thank you, Mike, and thank you, Dick. We reserved some time to take some questions. [Operator Instructions] 
Operator: [Operator Instructions] Your first question comes from the line of Rod Lache from Deutsche Bank. 
Dan Galves: This is Dan Galves in for Rod. I just wanted to ask about the cadence of GMT900 production. I think you had talked about 290,000 in the first quarter, and I think you've made some comments in the past that it would move to 240 per quarter in the last 3, which would get you to about flat year-over-year. When I take away the 50,000 unit sequentially, having trouble getting to your guidance for the year. Are there parts of the business that should see sequential improvements through the course of 2012 that will offset lower profitability from the T900 versus Q1? 
Richard Dauch: So Dan, so I understand your question. Are you speaking to our guidance for profit margins? 
Dan Galves: Basically on revenue and the implications for EBITDA based on your revenue and the margin guidance. 
Michael Simonte: Okay. Well, we do see this cadence in GMT900 production ramping down a little bit. But keep in mind that we're launching approximately $350 million of new business this year. That got started in the first quarter with the strong launch on the GMI700 products in Arcadia, Brazil, in Rayong, Thailand. But as we work our way through the rest of the calendar year, we're going to be ramping up with Mercedes in China. We're going to be launching with Mack additional models here in North America. We're launching with Daimler Truck in India and our other GM programs that are launching second, third and fourth quarters as well, Dan. So we've got a very strong expectation this year for our sales through the rest of the year. The other thing to keep in mind is that while the GMT900 may be ramping down just a little bit to work for the rest of this year, the Dodge Ram Heavy Duty series pick-up truck program is expected to be very strong, and GM's full-size vans should have good year-over-year growth as well in production. And so these are providing some support, Dan, to our business as we work through the rest of the year. 
Dan Galves: Can you give us your current expectation for the year-over-year revenue tailwind from new business backlog in 2012, and what it was in Q1? And then I just wanted to ask about the material cost in freight projections of $35 million year-over-year? How does that compare to when you first gave your guidance this year? 
Michael Simonte: Okay, I'm not sure I understand your first question. I'll answer it this way. You're asking for revenue tailwind from our new business backlog. It's about $350 million for the year. The first quarter was a pretty strong quarter of launch relative to the GMI700 program. But many of the other programs are going to be coming later in the year. So we are probably closer to 20% of that total, maybe a little less than that in the first quarter, and of course, a little greater than that run rate as we work through the rest of the year. As to the second part of that question, the material cost inflation, the net material cost inflation is trending a little higher than what we had anticipated 3 to 6 months ago. But keep in mind that the number we're disclosing today is the combination -- and this is the way we look at it internally, so we thought it makes sense to share it this way, externally as well. It's the combination of material and freight cost inflation. We're seeing some growth in either. So the majority of the increase and this cost driver that we're discussing today or a significant portion anyway deals with the freight cost inflation. And we are seeing some modest increase in our expectation for material cost inflation as compared to where we were 3 to 6 months ago. 
Operator: Your next question comes from the line of John Murphy from Bank of America Merrill Lynch. 
John Murphy: Just a follow-up, I apologize, Mike, on this material and freight cost inflation. I just want to make sure that I've got my thought process here straight. You talked about 100 basis point hit year-over-year or weight year-over-year from '12 versus '11 and then $35 million of a headwind on an absolute basis. I'm just curious, how much of that was in the first quarter and how much of that will we see hit in the second, third and fourth I'm just trying to understand this version or the cadence of the course of the year of that? 
Michael Simonte: Yes, John. And I mentioned, although we covered a lot here in our comments, we emphasized something here. The impact is greater in the first quarter of 2012 because we started to experience some of these material cost inflation pressures in the second half of 2011. So of the roughly $35 million of total material and freight cost inflation, we've seen about, not quite 1/3, but maybe 30% of that impacting our earnings in the first quarter of 2012. So the impact will be lesser, particularly in the second half of the year as we work through the rest of this year. 
John Murphy: So as we're looking at this 14.5% adjusted EBITDA margin for the first quarter, you are actually getting a bigger hit from that in the first quarter. That should ease. I mean it just seems like, obviously, your GMT900 slows down a bit. But I mean, it seems like you're actually really outperforming your expectation on the EBITDA margins in the first quarter. Is that a correct characterization? 
Michael Simonte: That's exactly the way we are looking at it from a budget management and internal management perspective. We got hit with a little bit higher material cost inflation. We knew about some of the other issues, such as the fact that we'd operate well above our contractual capacity levels and that we would have to do that using some premium labor costs in our own system. Some of our suppliers needed some premium freight and logistics arrangements in order to meet this very high demand -- this bubble, if you will, in the first quarter of 2012. And we knew that we were going to have the reduction in revenue associated with the recognition of that deferred revenue with General Motors. So yes, we overcame a bigger issue on material cost inflation, and we feel very good about what we did here in this first quarter, and we expect to continue throughout the rest of this year. 
John Murphy: That's very helpful. And then just a second question. The GM payment terms changes that occurred. I'm just curious how much of a surprise those were to you because it sounds like that's a new development. I'm just curious if GM is trying to take any other actions on payable extensions or anything else on price downs or anything like that and your business arrangement with them that would be incrementally, sort of more negative going forward because it sounds like they've gotten a little bit more aggressive. 
Michael Simonte: No, John. I wouldn't read it that way. This is an administration of a "GM's standard payment term." John, I'll tell you that we have the same pay on receipt language in the purchase orders we let to our suppliers. In 2011 and prior periods, GM had administered this term according to the pay on shipments arrangement. They've adjusted their systems and their procedures in 2012 and our understanding is that they're doing this with other suppliers as well to simply adjust to the pay-and-received terms, which has been in the purchase orders for some time. We do not view this as an AAM-specific issue, nor do we think you should be concerned about this having bleed across to other aspects of our customer relationships. 
John Murphy: That's incredibly helpful. And then just one last one. On the $1 billion of new business that you guys are quoting on, it sounds like a lot of that's non-GM. I'm also just curious if you can sort of highlight really what regions that new business you're quoting on is in? What the timeframe of that rolling on and sort of your historic win rate as you're quoting on business like this? 
David Dauch: John, David Dauch here. As you said, we're quoting over $1 billion. Really it's spread across all the various regions of the world. Now we've got opportunities here in the Americas. We have plenty of opportunities in Europe and vast opportunities in the Asia corridor. So we think we can land business in all those regions based on what we're actively quoting at this point in time. And to address your last part of that question, our typical hit rates are in the 25% to 30% range. 
John Murphy: I'm sorry, and the timeframe. Is this stuff that's 3 to 5 years out or next 2 years? Just curious of sort of the timeframe... 
Richard Dauch: Some of the foraging things, John, that we're working on are probably in the next 2 to 3 years, mostly drive line things that we're talking about are '14 and beyond, mainly '15 and beyond. 
Operator: Your next question comes from the line of Chris Ceraso from Credit Suisse. 
Christopher Ceraso: Okay. So just a couple of things here. I think you've covered a lot of it. Going back to your discussion about working capital, Mike, which is helpful. You may have mentioned this already, but you should get some release from working capital just as the truck production comes down in Q2 anyway, right? Any magnitude you want to put on that? 
Michael Simonte: Yes, Chris, we will get some release of working capital in the second quarter. What I would tell you is that right now our second quarter sales are trending very strongly. So we wouldn't -- we expect more of that working capital release to affect our second half of the year cash flow results. But we do see the sales in the months of May and June trending $15 million or so less than the month of February and March. So at the baseline, we should expect some working capital release. But again, I think as we work our way through the third quarter, particularly the fourth quarter -- if you go back in history and look at when our sales where at these levels in the past 2003, '04, '05, you can see trends that we feel are going to repeat themselves in terms of a very strong working capital releases in the fourth quarter of each year due to the shutdown at Thanksgiving and Christmas time period. And so we would expect more of that release, Chris, to be a little bit later in the year. 
Christopher Ceraso: Right, seasonally. Okay. This comes back to one of the earlier questions, too. The 290,000 units coming down to 240,000 per quarter. That's pretty consistent with what CSM is calling for from Q1 to Q2. Is that consistent with the schedules that you're seeing, call it a 15% to 20% step-down in the build rate from Q1 to Q2? 
Richard Dauch: Okay. A couple of things I want to make very clear. What I'm saying is that we would expect the quarterly cadence of production to be in average of approximately 240,000 units second, third and fourth quarter. We don't see a lot of variability quarter-to-quarter, but don't be surprised if one's a little bit higher and one's a little bit lower. Particularly again, as you look at that fourth quarter, which had such a substantial number of the holiday shutdown time period, that one is probably a little bit less than average depending on what happens with sales between here and there. I would tell you flat out, the production schedules are higher. They're higher than the 240,000 unit expectations for the second quarter. We'll see what transpires here to the next couple of months. But to be very clear, they are higher than what CSM is calling for, and they in fact, could be higher than our average. Just have to wait and see. 
Christopher Ceraso: Okay. And then just the last thing to make sure I was clear on the math on the profit headwind from the expiration of that GM 2008 deal. If I followed your math right, should we see a step-up in the profit headwind from Q1 to Q2 of about $7.5 million? Did I get that math right? 
Michael Simonte: That is exactly right. Now keep in mind, we planned on this. We discussed this. There are other aspects of our business that are helping to offset that. But I think it's important for everybody to recognize that's an important issue in terms of comparing our margin and performance year-over-year. 
Operator: Your next question comes from the line of Brian Johnson from Barclays Capital. 
Brian Johnson: A couple of questions. Since the inventory you carry until it reaches GM is in a sale until it reaches GM, are there any other things that when we get to the income statement and we ought to be aware of timing of the GMT900 production scales versus booking of revenue for American Axle? I maybe... 
Michael Simonte: Brian, first of all, good morning. Second of all, you said something inaccurate. I want to clarify that immediately. The sale of our product to General Motors occurs on our DAC, okay? Title transfers, nothing has changed in that regard. GM's responsible to arrange mode of transportation, and they have the risk of ownership and loss during that time period. So we continue to record a sale on our DAC. The only difference is that GM is administering that 47 paid weekly beginning on the date of which those goods hit their DAC. From a practical standpoint, Brian, what you can assume is our payment terms went up from approximately 50 days to approximately 57 days. But the sale itself occurs on our DAC. 
Brian Johnson: And in terms of other timing, in terms of would you be building ahead or behind given how variable  production's going to be through the year? For example, in fourth quarter, did you build more axles, put them into the transit system and therefore, you didn't have to build quite at the pace of their high production this quarter? 
Michael Simonte: That's an excellent question. When a customer anticipates higher production volume, they do put more inventory in the system, in the channel, if you will. So we saw a modest -- not a very big number in the fourth quarter. But over the last couple of quarters, as GM prepared for this higher inventory allowance, our higher production activity, our sales were a little bit higher on a unit basis than their end production. That turned a little bit in the first quarter, and we expect that will turn again here as we work through the next couple of quarters. But nothing material, Brian. The one issue that I would mention in this regard does not have to do with our customers, but has to do with our suppliers because one of the things that we're looking at and have to evaluate, and of course, work with our supply base is that if our payment terms from our customers are going to be taken up to about 57 days, then we need to evaluate whether it's appropriate for us to make any changes to the supply and payment terms that we have with our own supply chain. So that's the one issue that I would comment on. 
Brian Johnson: I was going to ask you that question, but when I thought it was inventory, it would be more round, are there further ways to optimize inventory? The second question is when we get to this $350 million of launch activity, how much is -- and I recognize it's global. But how much is commercial truck versus light vehicle and then how comfortable are you with the $350 million given all the noise in the market around Chinese truck, commercial vehicle builds, Brazilian commercial vehicle builds and so forth? 
Michael Simonte: Okay, Chris. I'm just going to get you the good accurate number on the amount of our new business backlog this year and commercial vehicles. Again, Daimler Truck, Mack and MNAL are the primary launches in our consolidated sales. And there's going to be about $60 million, Chris tells me. 6, 0, $60 million of the $350 million in our commercial vehicle business. We are now particularly exposed to the Brazilian commercial truck market in that issue. We're launching in the country of India. And of course, in China, our joint venture is exposed to China in this regard, but we do not see significant issues to be concerned with in China. Recall that we're focused on the light commercial vehicle truck market in China, and we're not seeing the same trends that, that market has maybe seen in the heavier  duty class A market there. 
Brian Johnson: So would that $60 million include Chinese LCVs or that's... 
Michael Simonte: No. 
Brian Johnson: Of the other 290, is it -- how would you split between car and light truck and light commercial vehicle? 
Michael Simonte: Most of that, it's probably closer to a 50-50 split between light truck programs led by the GMI 700 program, foreign and global light truck programs and then the rest is passenger car. We've got the Mercedes C and E class launching, the Cadillac ATS the global small vehicle program at General Motors. Those are the biggest issues that we're supporting. And so it's going to be a more balanced mix of light global truck and pass car, all-wheel drive and rear-wheel drive here in 2012. 
Operator: Your next question comes from the line of Brett Hoselton from KeyBanc. 
Brett Hoselton: Mike, I was hoping you could speak to your expectation for the cadence of margins throughout the remainder of the year. Your guidance 14 to 14.5, you did 14.5 in the first quarter. Is your expectation with lower GMT900 production that you may start to see EBITDA start to drift down into that lower end of that range? Or do you think there are some offsets that may allow you to stay closer to that upper end of that range? 
Michael Simonte: Brett, this is an interesting question, a good question. We did perform at the high end of the range in the first quarter. And no question, we do expect some lower GMT900 production contribution going forward. But keep in mind from a margin performance standpoint that we expect stronger contributions in some of our foreign operations that, to this point in time, had been cost centers for our company. And we are going to be turning these operations into profit-generating facilities. So in places like Thailand and even in Brazil, where we are significantly expanding Brazil, we expect stronger profit contributions from some of these operations that will help to offset the GMT900 issue. The other thing I mentioned in response to another question earlier in  this call was that the Dodge Ram Heavy Duty or Ram heavy duty series pick-up truck program and the GM full-sized van are expected to run at levels at/or slightly higher than what we had the first quarter. So that will also be a favorable issue for us as we work through this year. If we see some weakness in the third quarter for example, which is, sometimes occurs, we may very well be at the lower end of our guidance range. But we're very confident in our guidance range for this calendar year. And I think you know when we set a range internally, externally, it's in our nature to focus on the top end of that range. And we're going to do everything we can to do that throughout this year. 
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley. 
Ravi Shanker: First of all, I want to thank you for all that detail in the call. It was really helpful. But also a little hard to keep up, so I may be asking something you've already just spoken about. I know, Mike, you referred to mix not being an issue, either in 1Q or the rest of the year. Can you just help me understand why -- when GMT900 structure was much higher in 1Q as probably stepping down for the rest of the year? 
Michael Simonte: Okay. When I was speaking to trucks, truck mix, Ravi, I was speaking only to sales not production. So quite the opposite we think is going to happen, trend wise throughout this year. We expect truck sales to improve as we work through the rest of this calendar year. That is somewhere between 52% and 55% of truck sales typically occur in the second half of the calendar year as compared to the first half of the year. So that comment that we made had only to do with the sales in, if you will, the macro environment, not the production cadence. 
Ravi Shanker: Got it, understood. And did you say anything about the cadence of your backlog coming on for non-GM sales? Was that particular -- was that weak at all in 1Q? And is that going to step up for this year? 
Michael Simonte: On a relative basis compared to the rest of the year, our non-GM sales launch was weaker or lesser in the first quarter as compared to the rest of the year. The major launch we had in the first quarter of 2012 was the GMI700 global pick-up truck program, and we're expecting some of these other programs that I've already mentioned to be launching second, third and fourth quarter this year. So yes, we expect non-GM launches to be a higher percentage of our launch activity the rest of this year. 
Operator: Your next question comes from the line of Peter Nesvold from Jefferies. 
H. Nesvold: Actually, I think the comments upfront, were very thorough, very helpful. I think we're probably all set. I'd like to follow-up with you offline, maybe just to go over modeling question, make sure I understand a couple of things. 
Michael Simonte: No problem, we'll do that. 
Operator: Your next question comes from the line of Emmanuel Rosner from CLSA. 
Emmanuel Rosner: Just wanted to follow-up on the pace of your gross in non-GM revenues this quarter. I understand that most of your strong launch activity for the year hasn't happened yet in the first quarter. But was there anything else in terms of either the manufacturers or the geographies you supply that would explain why non-GM sales grew by about 8%? I mean much softer than the type of growth rates we've seen from you guys over the past couple of years. 
Michael Simonte: Yes, yes. There is. It's pretty straightforward and simple. The GMT900 program went from 226,000 units to 290,000 units in 1 quarter. I haven't done the specific math, but that's right around 25% growth. We have the GMI 700 launch on top of that. So it's just math, Emmanuel, there's nothing... 
Emmanuel Rosner: I understand that from a mix point of view. I'm talking about pure units. Your non-GM revenues were just up 8% basically. We've seen a very strong double-digit, actually much more than that growth from you guys in terms of pure non-GM revenues. Is it just an issue of the cadence of your non-GM backlog this year or are you supplying to a certain geographies that didn't really grow all that fast this quarter? 
Michael Simonte: We see nothing significant to note in this regard. Recognize your comment, but there's nothing remarkable about this programs or what's happening to comment on at this time. 
Emmanuel Rosner: Okay. And then regarding GM's compact pick-ups that are -- I mean the terminating the program later this year. Can you please update us on, I guess, the expected timing on that? And what sort of impact we could see from the end of this program for you guys? 
Michael Simonte: Yes. So Emmanuel, we believe you're commenting on the GMT-355 program. That is produced in Shreveport, Louisiana by General Motors. GM has announced that the facility will build out at the end of August of this calendar year. And so we expect to support their requirements through August. And then have no sales contributions from that program after August. 
Emmanuel Rosner: So what sort of impact, financial impact are we talking about in terms of the sequential decline in revenues from there? 
Michael Simonte: Yes, the program has been running in the range of 50,000 units over the past couple of years. It might be a little bit higher this year on an annualized basis. But of course, we're only getting 8 months of that. So we expect production in that program to be in the range of 35,000, 40,000 units. That's maybe 12,000 units a quarter, and we'll lose maybe 3,000 or 4,000 units in September, maybe 12,000 in the fourth quarter on a comparable basis. And that might be around $12 million of revenue per quarter and may be $3 million of profit contribution. But that's basically the cadence in terms of our guidance and expectations for this year. We've known about this for some time. 
David Dauch: And Emmanuel, the only thing [Audio Gap] and this is David Dauch. To begin, the GMI-7xx and the 31 UX, as that volume accelerates up, will clearly offset and add going forward to -- which is contemplated in our overall guidance, as Mike indicated. 
Operator: Your last question comes from Joseph Spak from RBC Capital Markets. 
Joseph Spak: Just to, I guess, synthesize some of the comments you made and given what the supply base or your supply base and sort of the high GMT and under volume, is it fair to say that from a profit contribution point of view around that 240,000 units, a quarter is the sweet spot for you guys? 
Michael Simonte: I wouldn't say that, but certainly 240,000 units is very close to in line with our expectation for the year. We can handle more volume, Joe. There's no question as we did here this first quarter. We like more volume, but 240,000 is certainly in the range. Let me say this, it's in the range of the sweet spot. It's certainly a good base, foundational volume for us to deal with, but we're happy with higher volumes. 
Richard Dauch: And Joe, probably what's more important is, is that the 3 quarters are consistent. The 240,000, 240,000, 240,000 on top of the 290,000. So they're in a slip or dip, up and down as they're preparing for the K2XX cadence after the GM 900 is phasing down. I got some more important points. And obviously, the numbers are what they are. 
David Dauch: And Joe, this is David Dauch. The only thing I would say is, clearly, the supply chain system was tested with the 290,000 units in the first quarter. Clearly, we had capacity to support that on our own operations, but we did incur some premiums, as Mike indicated earlier, with some premium freight and distant supplier issues, whether there are some bottlenecks as the system's being tested. 
Joseph Spak: So I guess one level down from you at the suppliers, and it seems like they're better able to operate at a level more around that 240,000, is that fair? 
John Bellanti: Joe, I would say that -- this is John Bellanti. Because this was a 1-quarter phenomenon, we incurred some special premium clause, as David indicated. With those types of volumes, we're going to continue for a longer period. We would certainly make adjustments in capacity at the supply base, which could be done rather rapidly. It wasn't the right economic decision, nor we had a one quarter phenomenon to work through. 
Joseph Spak: Okay, fair enough. And then just one quick one on working capital. I'm just curious, is there -- are there any meaningfully different changes in terms of payment or receivable terms as you move more into the commercial truck business or even more internationally? 
Michael Simonte: Yes, Joe, that's an excellent question. I'll tell you this. I think with the change that General Motors is making to administer the payment terms on a pay-on-receipt basis, we're actually moving or GM is moving the U.S. norm closer to the international or foreign norm. Most of our operations around the world have payment terms that average around 60 days. So that has been approximately 10 days wider than what we were experiencing here in the U.S. And now, of course, we're getting closer, at least with GM, to prepare you with that issue. So yes, there'll be a little bit of a adjustment as we work through a more balanced revenue stream, U.S. versus non-U.S.  Or maybe I should say North America versus non-North America. But we don't expect this to be much wider, any different than around 60 days, which from our observations, they are consistent with our peers and competitors. 
Christopher Son: We thank all of you, who have participated on this call and appreciate your interest in AAM. We certainly look forward to talking with you in the future. 
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.